Operator: Greetings, and welcome to Marti Technologies, Inc. Full Year 2024 Earnings Conference Call. At this time, all participants are on a listen-only mode. A question-and-answer session will follow the formal presentation [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Cankut Durgun, Founder and President. Thank you. Please go ahead.
Cankut Durgun: Hello. Thank you, Donna. Before we begin, I'd like to remind everyone that statements made on this call as well as in the full year 2024 presentation and earnings release contain forward-looking statements regarding our financial outlook, business plans and objectives and other future events and developments, including statements about the market and revenue potential of our products and services and our goals and strategies. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. These risks and uncertainties include those described in the company's filings with the SEC, the earnings release and the presentation and are based on current expectations and beliefs as of today, April 28, 2025. In addition, our discussion today will include references to certain supplemental non-GAAP financial measures, which should be considered in addition to and not as a substitute for our GAAP results. We use these non-GAAP measures in evaluating and managing Martin's business and believe they provide useful information for our investors. Reconciliations of the non-GAAP measures to the corresponding GAAP measures where appropriate can be found in the earnings presentation available on our Web site as well as our earnings release and our filings with the SEC. With that, I'll now turn the call over to my partner, Oguz.
Oguz Alper Oktem: Thank you all for joining us today, and thank you, Cankut, for the full year 2024 earnings call of Marti Technologies. For those new to our company, Marti, as the mobility super app of Turkey, Marti offers six services over our app, including car hailing, motorcycle hailing, taxi hailing marketplaces and owned and operated e-bike, e-scooter and e-moped rental services. Our car hailing, motorcycle hailing and taxi hailing marketplace are a part of our ride hailing operations and our e-bike, e-scooter and e-moped rental services are part of our two wheeled electric vehicle operations. As we continue to evolve our business model to align with Turkey's growing mobility demands, we are excited to share the key strategic shifts. Over the past two-and-a-half years, we have transitioned our primary focus to ride hailing. Since sharpening our focus on ride hailing, we have consistently exceeded operational targets for both unique ride hailing riders and registered drivers. We began monetizing the ride hailing service in October 2024. And in January 2025, we introduced a dynamic pricing model to further enhance efficiency and rider and driver satisfaction. These strategic moves are already generating strong early momentum. While we prioritize our growth of our ride hailing service, we've also implemented critical profitability enhancing measures and successfully deployed efficiency initiatives for our two wheeled electric vehicle service, resulting in a notable reduction in both operating losses and capital requirements. This helped us to rebalance our portfolio and channel resources more effectively. These efforts are translating into accelerated financial performance. We are on track to almost double our revenue compared to 2024 to $34 million in 2025 and are expecting to achieve positive adjusted EBITDA in 2025, excluding incremental investments to accelerate ride hailing growth. Lastly, the monetization of our ride hailing and our first-mover advantage are significantly enhancing our cash generation and capital efficiency. This bolstered financial performance positions us well to scale operations and capture Turkey's long term mobility opportunity will increase resilience and flexibility. We're the number one urban mobility app both on iOS and Android app stores in Turkey and we are the only car hailing and motorcycle hailing provider and the largest electric vehicle operator in the country. We have served over 109.4 million rides to 5.9 million unique riders since our launch. In 2024, we consistently outperformed our ride hailing targets hitting 1.66 million unique ride hailing riders and 262,000 registered drivers by the end of the year. Although, we are the youngest player in Turkey's urban mobility market, we are the clear market leader here. It is also important to note that of the top five urban mobility apps in the country, four, including Marti, are local. This is in line with global benchmarks, which have demonstrated that local companies win their respective mobility markets because of their operational advantages. We currently serve four of Turkey's largest cities Istanbul, the capital Ankara, Iznet, and Antalya. Together, these cities account for 50% of the country's GDP and 34% of its population. However, the opportunity is not limited to just these cities. Turkey is a large untapped market with 24 cities that have populations greater than 1 million people, and we plan on expanding these cities in 2025 and beyond. In '24, we continued to invest in the growth of our ride hailing services. As the only at scale ride hailing operator in the country, we spent two years growing the service before announcing its monetization in October 2024 in the form of a driver subscription package. Our number of unique ride hailing riders grew 233% in 2024 from 499,000 to 1.66 million. Our registered drivers grew 146% from 107,000 to 262,000. We will continue to invest in the cost effective growth of our ride hailing service in 2025 and beyond and aim to reach 2.15 million riders and 310,000 registered drivers by the end of June 2025. The accelerated growth and substantial scale that we've achieved in our base of riders and registered drivers relative to limited capital outlays that we have made in our ride hailing business reflect our commitment to capital efficient growth. Looking forward, we will pursue incremental investments to capitalize on multiple growth drivers. These include pursuing further organic growth in the cities where we already operate, improving our rider and driver experiences, launching new cities to survey greater share of Turkey's urban population, refining our dynamic pricing engine and increasing our take rate. These initiatives will support our path towards capturing a $3 billion annual revenue opportunity in the ride hailing business. Turkey is in great need of tech enabled mobility solutions. This is because substitute transportation options are either less available or more expensive than in other markets. In Turkey, car ownership is costly, metro station density is low, traffic is an absolute nightmare and the availability of taxis are very limited. We can not change that, especially the limited number of available taxis with our ride hailing services. Here's how large we believe our revenue opportunity is. With every global benchmark, we see that the introduction of ride hailing services into a market uncovers unmet demand, significantly eclipsing the demand of taxi service prior to the introduction of ride hail. This is because ride hailing usually offers a significantly better, more accessible customer experience than taxis across almost all dimensions, including vehicle availability, price and driver and vehicle quality. In the city of New York, for example, ride hailing increased the size of the taxi market by 1.6 times. There were approximately 800,000 daily taxi rides in Istanbul, our largest city, when we launched ride hailing. What happened in New York is happening in Istanbul today, and we expect that there will be 1.3 million daily ride hailing trips in Istanbul at steady state. And Istanbul's taxi market accounts for about 45% of Turkey's general taxi market. So this implies that there will eventually be about 2.9 million daily ride hailing rides in Turkey. This is about 1 billion rides a year and around $10 billion of gross booking value. At a take rate of 30% in light of global benchmark, this produces $3 billion of annual revenue potential for Turkey's ride hailing market at maturity. And in our two wheeled electric vehicle business, consisting of owned and operated e-bikes, e-scooters and e-mopeds, we continue to focus on operational efficiency throughout 2024. Our operational efficiency projects decreased the total cost of revenues by 10.5% year-over-year despite managing a similarly sized fleet as in the previous year. We achieved each of these operational improvements while maintaining our historical theft and vandalism rate of less than 0.1% of our fleets on a monthly basis. That was the thinking and we will evaluate the opportunity to expand our fleet no earlier than the summer of 2026. To further advance our operational efficiency efforts, in February 2024, we completed the acquisition of all the intellectual property and software assets of Zoba, the leading AI-powered software-as-a-service platform offering dynamic fleet optimization algorithms for two wheeled electric vehicle operators. Zoba dynamically optimizes where vehicles are deployed and when operational tasks such as battery swaps, rebalances and pick-ups occur to maximize ridership and minimize operational inefficiencies. In the first half of 2024, our vehicles deployed according to Zoba's algorithms achieved 2 times higher daily rides per vehicle than vehicles deployed without Zoba. This figure increased to 2.4 times in the second half of 2024, demonstrating that both Zoba's effectiveness and room for further improvement. The additional revenue, which Zoba's deployment recommendations have generated for market in the first year following the acquisition has already returned more than twice of our acquisition cost. Our future focus will be to scale vehicles deployed with Zoba from around 80% at present to 100% of deployments and to apply its additional features like logistics vehicle routing recommendations on the field. Throughout last year, 2024, the behavior of our riders continued to support our decision to offer multiple transportation modalities over a single app. We believe and the data continues to show that this multimodal option is aligned with rider preference. 70% of our e-bikes, 84% of our e-mopeds, 43% of our car hailing and 82% of our motorcycle hailing riders use these modalities after previously being introduced to market by using another modality. Our existing modalities serve as an excellent cost, free rider acquisition channel for our new modalities. Furthermore, 68% of our e-bikes and 77% of our e-moped, 26% of our car hailing and 81% of our motorcycle hailing riders subsequently use other market modalities after their first e-bike, e-moped, car hailing and motorcycle hailing rides respectively. These data points all show an overwhelming rider preference for multimodal transportation services. Serving multimodal riders also creates economic benefits for Marti. Ride per rider is 4.1 times higher and revenue per rider is 3.7 times higher for our multimodal riders than for our single modality riders. These statistics reinforce our decision to invest in the balanced growth of our multimodal services. I'd now like to turn it over to my partner, Cankut, to present our financials. Thank you.
Cankut Durgun: Thank you, Oguz. In aggregate, we generated revenue of $18.7 million for the year, exceeding our 2024 revenue guidance of $16.6 million by $2.1 million. This was primarily due to the monetization of our ride hailing service, which began in October 2024. Also, we generated negative $19.3 million of adjusted EBITDA for the year, exceeding our 2024 adjusted EBITDA guidance of negative $22.5 million by $3.2 million. This was driven by a combination of factors, including the launch of the monetization of our ride hailing service but also the greater than expected operational efficiencies that we produced in our two wheeled electric vehicle service. Looking at our KPIs, we increased our number of total rides from 21.9 million in 2023 to 31.7 million in 2024. We also increased our number of unique riders who used our services at least once during the year from 1.8 million to 2.1 million people. Both increases were driven by an increase in ride hailing rides and riders. Our number of unique ride hailing riders that have used the service since its launch increased from about 0.5 million at the end of '23 to 1.66 million at the end of '24, while the number of registered drivers increased from 107,000 to 262,000 during the same time period. As a result of the gradual decommissioning of our two wheel electric vehicle fleet, our number of average daily two wheel electric vehicles deployed fell from 34,600 in 2023 to 32,600 in 2024. We completed the year with $18.7 million of revenue, down from $20 million in 2023, primarily attributable to a decreased number of two wheel electric vehicles on the field and partially offset by ride hailing monetization beginning in October. We reduced our cost of revenues by 11% from $24.1 million in 2023 to $21.5 million in 2024 as a result of decreasing depreciation and amortization expense and the operational efficiencies that I've previously described. These projects included optimizing our field staff, repair and maintenance staff and logistics vehicle counts, launching on field repairs and increasing our usage of refurbished electronic and spare parts. Our general and administrative expenses increased by 226% from $15.1 million in 2023 to $49.2 million in 2024. However, the vast majority of this increase was as a result of increased share based compensation expense of $37.2 million. In the absence of share based compensation expense, cash based general and administrative expenses decreased from $13.1 million in 2023 to $12.1 million in 2024. This was driven by team efficiencies and the streamlining of public company advisory expenses. As a result, our adjusted EBITDA came in at negative $19.3 million in 2024, 8.9% lower compared to adjusted EBITDA of negative $17.7 million in 2023. This was driven primarily by more aggressive investments in our ride hailing service prior to the commencement of monetization in the fourth quarter. The transition to ride hailing monetization marks the key inflection point for our growth and profitability. In 2025, we aim to almost double our annual revenue from $18.7 million in 2024 to $34 million in 2025 and to achieve positive EBITDA with a projected [Technical Difficulty] improvement. Our 2025 guidance excludes any incremental investments that we may choose to make to support the continued ride hailing growth during the year. Finally, our share repurchase program, which we announced in January of 2024 and which enables us to purchase up to $3.5 million of our ordinary shares up to a price per share of $6 through October 09, 2025 remains ongoing. We thank you for participating today and listening to our performance and our future plans. We'd be glad to address any questions you may have.
Operator: [Operator Instructions] Our first question is coming from Deepak Mathivanan of Cantor Fitzgerald.
Unidentified Analyst: This is Jack on for Deepak. I've got two for you. First, can you talk a little bit more about how the dynamic pricing has been helping the ride hailing monetization model since launch? Kind of where are you on the overall monetization journey and sort of what have been the early signs of success you're seeing there? And then secondly, on the driver supply, kind of how are you seeing success getting more drivers on the platform and then how much runway do you have to continue growing this metric? Obviously, you've seen nice growth thus far to date.
Oguz Alper Oktem: As for your -- you asked two questions, so I'll answer the first one first. The dynamic pricing algorithm actually helps increase our metrics, because ride hailing is not a business with constant demand nor supply. On a Friday night when it's raining and the weather is nice, the temperature is not too cold, after work, the demand is the highest it can possibly be. But on a Tuesday, if it's cold and the early morning hours, the demand is not just there, right? If you don't adjust your pricing based on demand and preferences of the drivers and riders, you are not going to get as many trips as you can. Your match rates will be low, because if the prices are too low, your drivers won't accept it. But if the prices are too high, your riders will not want to take the trip. So it is a constant battle to measure every metric possible that's out there. Be it personal or traffic related, weather related, specific events going on in the city, time of year, there are numerous other factors that we look at constantly and adjust our pricing on a -- not a citywide basis but on small locations. So the pricing algorithm works differently for each neighborhood, sometimes each street within a neighborhood. So we are constantly working on it and we have seen tremendous improvements in our match rates, because we were able to price things as well as we could. And in terms of our rider and driver growth, one key factor here is, I mean, ride hailing did not exist in Turkey prior to our launch. So I sometimes use this analogy and say, it is akin to us selling water in the desert. Istanbul is sparked for tech enabled urban transportation. Taxis are, just in terms of quality and quantity, simply abysmal. The level of service is unacceptable and we are selling something that's economical, efficient and easy-to-use. So that's why people tend to like us a lot. This obviously reflects on the demand side, which hence then reflects into the supply side. So I don't know where this will end but I still see very strong increase in our driver applications. And as years go by, those numbers are going to reach, very, very high figures. We're also seeing increased activeness in our already registered drivers. So our cohorts suggest that people who signed up to the platform, once they start using it, they start using it more as drivers. So improvement in the already signed up drivers is a critical factor for total trip growth as well.
Operator: The next question is coming from Rohit Kulkarni of ROTH Capital.
Rohit Kulkarni: I guess, just maybe, at a high level, how do you think, the competitive environment has evolved over the last seven, eight months? You seem to be the market leader in the markets over there. But how do you anticipate that to evolve over the next year or so as probably the market grows, your success and your traction improves? Perhaps talk about how do you contemplate that in the near future.
Oguz Alper Oktem: First of all, as you know, we mentioned we are the first mover here and the first mover advantage in a double sided marketplace business model like ride hailing is a fairly large advantage. The larger you are when your competitors arrive, the higher, steady state market share you will have. So that's why we're trying everything we can to grow as fast as possible before any type of competition arrives. That being said, these markets, the size of Turkey generally tend to be either duopolies or oligopolies with three to four players at a maximum. And historically, when you look at other similar economies in the G20, you see that the local players who have the first mover advantage have always somehow kept the better position. We are not afraid of competition. We welcome it. We're ready for it. If it emerges, eventually, we'll be the dominant player with tremendous first mover advantage and with a lot of local expertise. And that, we believe, is the magical formula to win the highest market share in the market.
Rohit Kulkarni: And if I could ask one more. What is the state of kind of ride sharing regulatory backdrop over there, in terms of where are you with regards to kind of the various rules and regulations that a ride sharing marketplace like yours needs to adopt? And are there any specific kind of catalysts or other events that that could essentially make operating a ride sharing marketplace much more structured in a manner?
Oguz Alper Oktem: So first of all, ride hailing not being one of the main urban transportation solutions in a country like Turkey is unthinkable. The only countries I'd be left without a proper ride hailing system are North Korea, The Congo and Eritrea. And that obviously shows a global trend where over 190 countries have the system in place with regulation. The regulation could come at three separate levels depending on the country. So it could be, first of all, on the local level. The cities, the city municipalities, city councils could regulate ride hailing individually with their own rules and it could change from place-to-place, city-to-city. There could be, if the country has a federal system, like Germany per se, there could be federal laws that govern the ride hailing market. Or in other countries, it could be national. So there are three tiers of regulation that's possible and that's out there. Right now, in Turkey, we're working on getting the full regulation in place to be able to operate freely and successfully in this market. But what needs to be kept in mind is that Turkey is playing catch-up to the rest of the world when it comes to ride hailing. We believe with almost a 100% certainty that this market with the largest city in Europe and with the highest population in Europe will have ride hailing and we believe that the local players who's sort of forced its way in and forced the entire business from scratch will be the key component of this entire equation.
Operator: The next question is coming from Poe Fratt of Alliance Global Partners.
Poe Fratt: Just as we -- have your earnings been released, is there a press release available? I can't find anything, so I'm flying a little bit blind.
Cankut Durgun: Yes, they have been released. If you look at our IR Web site, ir.marti.tech, you should be able to see it.
Poe Fratt: For some reason, Cankut, I'm on there and I can't find anything. I'll refresh. But nonetheless, I do have a couple of questions. You talked about your targets for 2025 of revenue of $34 million improving adjusted EBITDA by about $22 million to get to positive adjusted EBITDA. Can you talk about some of the assumptions in there as far as either your cash G&A, your take rate? If you could just sort of frame some of the assumptions that are embedded in your guidance that would be really helpful.
Cankut Durgun: So the guidance, first, it -- guidance with respect to continued operations in our existing cities. So the four cities that we currently operate in, Istanbul, Ankara, the capital of Turkey, Antalya and Izmir, it assumes continued operations in those existing cities. It does not assume any other new city launches. The second important assumption in those figures is also that it assumes a similarly sized G&A team that we had throughout the year 2024. And therefore, no incremental increases to the size of the team that we may choose to make in order to increase the preparedness of the company for a greater scale operation are included. Those are the two main assumptions. So what that means is that if we continue our ride hailing business with a similarly sized G&A team and in our existing cities, we have a very healthy economic profile in the existing business. We may choose, of course to, throughout the year, expand the scale of our operations by launching new cities, as well as by preparing our team to operate a much larger scale marketplace. You asked about our take rates. Our take rates, given that we just started monetizing in October of 2024, so it's been close to about half a year. We gradually will be increasing our take rates over time. We started with lower take rates relative to global benchmarks. And the assumptions for the 2025 financial performance also assume that we continue to operate with the same take rates that we currently have in place, which remain in the single digits. And therefore, that is additional potential upside is when we choose to increase the effective take rates that we operate with.
Poe Fratt: And Cankut, could I narrow the range as far as single digits, can you -- at the upper end of the single digit range, middle, sort of where are you as far as current take rates? And then where do you think you would exit 2025 as far as the take rate?
Cankut Durgun: It's going to be a gradual process and we're going to be taking multiple parameters into account in making those decisions. So those parameters include the clear trade-off between sort of growth and take rates. They take into account the competitive environment in the market, the potential anticipation of regulatory developments that we discussed. There are multiple parameters that we look at. And therefore, it's very difficult to pinpoint a specific figure for the end of the year. What we will be doing is taking all those parameters into account and whatever is necessary to optimize our current positioning in light of what we want to achieve that's what's going to determine the take rates, which remains in the single digits. Although, it has increased from very low single digits when we initially launched.
Poe Fratt: And then Turkey has been on the -- in the news as far as the national level from a political standpoint. Are there any potential changes that you see in the political landscape that might impact Marti in 2025?
Oguz Alper Oktem: I guess, I'll take this one. So first of all, let me make something very clear. For those who follow Turkey closely will know this, or know the history of Turkey, will know this that Turkey is a place where there's mild but constant political turmoil. It's been that way for the past 150 years. It's normal. It's a part of this country's DNA. But keep in mind that this is a very vibrant society of 85 million people, the largest in Europe, with a city of 20 million people in Istanbul, which again is the largest in Europe. Our economy is solid and sound and our growth rates historically have been pretty impressive. So I don't foresee this country experiencing any major trouble in the coming years that could potentially affect our company. But specifically about ride hailing, come hell or high water people still need to move around cities whatever happens. So I believe our business model is ironclad against any type of negative situation. And Turkey, a country that has never defaulted on its sovereign debt ever, will not have the level of turmoil that could affect a company of our size.
Poe Fratt: And then one last one, if I may. You re-upped or you changed the stock repurchase program end of March. Can you just highlight whether you've been active either in the last couple of weeks of March or into April as far as buying stock back?
Cankut Durgun: So we're very opportunistic with the repurchases that we make. We have a clear belief as to the potential maximum value of the shares and therefore the stock repurchase plan has $6 share cap. And we're going to continue to, throughout the year, evaluate the stock price, which currently I think is -- it is significantly lower than that. And therefore, we're going to continue to be opportunistic as to share repurchases.
Poe Fratt: And it looks like the press release just hit your Web site, so I appreciate that. Thanks a lot, Cankut.
Operator: The next question is coming from Theodore O'Neil of Litchfield Hills Research.
Theodore O'Neil: I'm following up on Poe's question here on your assumption that there's no expansions beyond existing cities for ride hailing in your assumptions for this year. Does that mean there there won't be any any expansion?
Oguz Alper Oktem: First of all, we are running pilots all the time. So the city's names are the ones we are operational at scale. But we're constantly testing and researching and doing R&D into market in multiple other cities. So 2025, we expect is going to be an active year. As I've said before, ride hailing is something new to the Turkish market. And obviously, what is happening here is akin to what has happened in any other market when ride hailing was first launched. You go to Europe, even in the smallest cities of Germany where less than 50,000 people live, you see large ride hailing operators operate profitably. So we see tremendous potential and opportunity in the smaller cities of Turkey and we will be constantly looking for those opportunities and doing pilots. And when we are sure, we're going to be launching in those cities one-by-one.
Theodore O'Neil: And your comments about the G&A team staying the same size. Is that because as you deemphasize the two wheel and focus on ride hailing, it allows you to keep the headcount approximately constant?
Cankut Durgun: That's right. That's one of the contributing factors. So in line with de-emphasis on our two wheeled electric vehicle operations, as evidenced by the decrease -- year-over-year decrease in average daily vehicles deployed that does mean that we need less central resources in order to support that operation. And therefore, even the current forecasts, they represent a similarly sized G&A team in 2024 as in 2025. But the distribution of that team, yes, does mean that two wheeled electric vehicles are getting smaller, ride hailing is getting larger but they do not represent increase in the total size of the of the team across the company.
Operator: [Operator Instructions] The next question is coming from Siddharth Havaldar of Crescent Enterprises.
Siddharth Havaldar: Just a couple of questions. Just it would be helpful to understand sort of your monthly and cash burn to date and cash position that you have today and how would you plan to, I guess, if they plan to raise additional capital for it and finance of the expansion in for '25 or how is it sort of confidence that that would increase in the take rates?
Cankut Durgun: So the cash position of the company as disclosed in our financials was roughly $5 million at the end of the year and we continue to raise as and where necessary in order to support the growth of the company.
Siddharth Havaldar: And so your monthly burn guidance for the current -- future year?
Cankut Durgun: So our forecast for 2025 is for $3 million in EBITDA, excluding investments that we may choose to make to accelerate the growth of our ride hailing business across the two dimensions that I shared. So currently, the forecast do not include any new city launches. And secondly, it does not include increase in the size of our G&A team.
Siddharth Havaldar: And then do you plan for additional sort of CapEx for the two wheeler refurbishment business or is that sort of deprioritizing focus on the ride hailing elements of it? And for the ride hailing aspect, I mean, you've [Technical Difficulty] further investments that may sort of alter the guidance for $3 million EBITDA?
Cankut Durgun: So regarding the two wheeled electric vehicles, that's right that we're not going to be evaluating any increases in the scale of our two wheeled electric vehicle operations prior to the summer of 2026. And so that will not be made in 2025. With regards to the guidance, if we were to choose to make some of the investments that we may make, those investments do have the ability to not only, of course, contribute to the expense line but also potentially contribute to the revenue line of our 2025 forecast.
Oguz Alper Oktem: Maybe let me add add some color as well. Look, the as the CEO, what I'm seeing when I look at our dashboard and our growth figures are just amazing how fast Turkey is adapting to this globally old but locally new tech enabled transportation solution. So any money spent in our ride hailing operations, lead expansion, lead marketing, lead any other thing, seems to have unbelievable ROI going forward affecting our future performance in the next few years.
Siddharth Havaldar: I think just one last question from my end. With the sort of increase of the take rate from single -- low single digits to high single digits, sort of the impact on the demand that you have seen with the drivers, because as you mentioned you're valuing multiple parameters when considering increasing take rates. Have you seen a resulting impact and decrease and sort of as we scale higher would the demand stay constant or improve?
Oguz Alper Oktem: So we've seen -- Cankut, do you want to take this or shall I?
Cankut Durgun: No, go ahead.
Oguz Alper Oktem: So we've seen no change in either the driver -- pace of driver acquisition or the retention parameters as a result of the application of monetization or the subsequent gradual increases that we performed in the take rates. And the reason for this, I believe, is because we are, one, introducing a new service to the country. We are doing so in an environment where we are the only at scale ride hailing operator currently in the country and we are also doing so in a structure where the alternative employment opportunities and the income that those alternative employment opportunities would present for our current driver base are smaller in nature. And the direct analogy, of course, is many of our drivers, for example, they formally drove for taxis. And if you look at the structure of the taxi sector in Turkey, it's one where in the vast majority of cities and most notably in Istanbul, there's a medallion system where a very large portion of the earnings of the driver go to rent the medallion. And our application of take rates still remains very small fraction of what the alternative for many of our drivers is, which is to rent a medallion and to drive a taxi.
Operator: The next question is a follow-up coming from Rohit Kulkarni of ROTH Capital.
Rohit Kulkarni: Given some of these recent questions, I wanted to jump in. Philosophically, how do you guys kind of balance growth versus profitability? Clearly, it feels that there's a large market opportunity ahead of you. But as a company of your size and scale, there's always a tug of war between where you invest near term versus medium and long term for sustainable growth. Can you just maybe talk through that? And more specifically towards the kind of how profitability overall could get affected as you think through these growth investments perhaps going deeper in existing cities, new cities, even new ways of monetizing your engagement, be it delivery, financials and whatnot. So just maybe talk through how philosophically investors should get comfortable that as ways to kind of manage capital and growth going forward?
Oguz Alper Oktem: So I think the state of the ride hailing market in Turkey is sort of important to highlight. We're less than three years into our ride hailing operation. And therefore, the state of the ride hailing market in Turkey is probably similar to the state of the ride hailing market in markets like the US back in pre-2015. And in light of that, we remain very much growth focused. Until we started monetizing in October 2024, arguably, we were 100% growth focused. Now while we have begun monetizing, we still remain very, very heavily tilted towards growth rather than profitability. But as a result of the market structure that we currently have, which is one where we are the leading at scale operator, even while we remain very focused on growth, we are able to, in our existing cities, create very healthy economics. And those are the forecasts for 2025. With respect to the future of the company, the opportunity in ride hailing in and of itself is so large that we do not foresee in 2025, for example, entering deliveries, entering financial services or extending into other verticals. And it's simply a function of market size, right, sort of potential volume and revenue per volume that we look at. And by far, ride hailing is the biggest opportunity. It's one that we are, I think, also very well positioned to capture as the clear market leader at steady state and therefore, that's our exclusive focus for 2025. Once we have captured the ride hailing opportunity fully then we will begin looking at other expansion verticals, but that's not going to be taking place in 2025.
Operator: Thank you. At this time, I would like to turn the floor back over to management for any additional or closing comments.
Cankut Durgun: Thank you very much for listening. Thank you for joining everybody and for your insightful questions. Appreciate it.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines and log off the webcast at this time, and enjoy the rest of your day.